Randy Palmer: Thank you operator and good morning.  Thank you for joining us for Clear Channel Communications and Clear Channel Outdoors Year-End and Fourth Quarter 2005 Conference Call.  Joining me today for the call are Lowry Mays, Chairman, Mark Mays, Chief Executive Officer, Randall Mays, President and Chief Financial Officer, John Hogan, Chief Executive Officer of Clear Channel Radio, and Paul Meyer, Global President of Clear Channel Outdoors. Mark will open up the call and will be followed by Randall.  After Randall’s comments we will open up the lines for questions.  Let me note that statements made during this call may contain forward looking information.  These forward looking statements involve known and unknown risk, uncertainties, and other factors which may cause the actual results, performance, or achievements of the companies to be different from any future results performance and achievements expressed or implied by these statements.  The following important factors among others could affect future results causing these results to differ material from those expressed in our forward looking statements; such as changes in general economic conditions both domestically and internationally, industry conditions fluctuations and exchange rates, and currency values, capital expenditure requirements and legislative or regulatory requirements.  The complete list of risks and uncertainties are noted in Clear Channels and Clear Channel and Outdoors security filing, and the press releases that were released this morning.  If you did not receive a copy of the releases, please contact our investor relations department at 210.822.2828 or go to our website at www.clearchannel.com.  A replay of this conference call will be available for 72-hours.  I will now turn the call over to Mark Mays.
Mark Mays: Well thanks Randy and good morning everybody.  Thanks for taking the time out this morning to join us for the Clear Channel Communications and Clear Channel Outdoor Fourth Quarter and Year-End Earnings Call.  Since this is our first call at Clear Channel Outdoor being a public company, I thought I’d just walk you through a framework for how we’re going to do the call this morning.  First of all, we issued two press releases this morning, one for Clear Channel Communications, which I sometimes refer to as CCU, and one for Clear Channel Outdoor, which I sometimes refer to as CCO.  Hopefully you got both of these press releases.  If not, the releases are posted on our website.  I’m them going to walk through a review of the operating segment of all the businesses which we operate and then Randall’s going to provide you some additional financial details for each of the respective companies.  After Randall then concludes his remarks, we’re going to open it up to Q & A for both companies.  And John and Paul and Randall and I will be here to answer questions for both companies. Let me walk through the operating divisions for each of the different companies with regard to radio.  Radio revenues declined 6% during the fourth quarter and for full year.  As you break that down our national business was softer than our local business and our best performing revenue streams were our network and traffic business, which has been the case for the entire year.  As you look at the strongest categories in the radio sector-it was services, if you look at the weakest categories in year, in the quarter of a quarter spending-it was political, automotive, and telecom. Moving into 2006 as we look into the first quarter, we are currently pacing at 2.9%.  Let me offer you a little bit more color on the quarter that I normally would as I believe it’s important for you to provide what we are seeing out there.  For January, we were up 5.1%.  However, in the markets which are reported by Miller Kaplan, we were up 6.3%, while the industry in those markets was up 1.5%.  Let me repeat that, the Miller Kaplan markets were up 1.5% we were up 6.3%.  In addition, once we go into the month of January, we experienced strengthening throughout the month and our seeing the trend lines for February.  We do feel like we will see an improvement as we go through the quarter as we are managing our commercial inventory very effectively.  I also wanted to provide you with some thoughts on radio expenses.  As we continue to reinvest in the radio business, such as programming, marketing, promotion, and new initiatives such as our internet initiative and HD radio.  We expect radio expenses to be up 3-3.5% for the year and slightly higher than that for the first quarter. Moving over to Outdoor, Outdoor had a tremendous fourth quarter any way you look at it.  We continue to experience growth in our total Outdoor business; both for the Americas and Internationally.  Overall, Outdoor revenues increase 7% during the quarter and 9% percent for the year.   growth for CCO was 18% for the quarter and 14% for the year.  If you break that down and looking at the Americas, which I formally referred to as our domestic Outdoor Business, they experienced, or we experienced a 13% revenue growth and 20% Operating Cash Flow Growth during the quarter.  For the year, revenue grew 11% and Operating Cash Flow grew 20%.  We saw growth across all display types that by our bulletin and our poster businesses.  Both categories were also very strong; especially entertainment and amusements, business and consumer services, and retail.  Internationally revenue grew 3% and Operating Cash Flow grew 22% for the quarter.  For the year revenue grew 7% and Operating Cash Flow grew 4%.  Our street furniture and transit business led the way with good growth in China, Italy, and Australia.  As we look into the first quarter for Outdoor, our Americas business is pacing up 7.2% and our International Outdoor business is pacing up 1.4%.  As a reminder to you, when I give out pacing number, those are internal numbers before trade and we use constant dollars and thus do not give any affect to foreign exchange gains or losses. On the expense side, we would expect Outdoor expenses to grow in the 2-3% range which is historically and traditionally what we have done.  In the television and other categories, both cats and television were down for the quarter.  And rapping up the call before I turn it over to Randall I just have a couple of final comments.  First in radio, we’ve had many challenges, we had in 2005 we took a long term view of positioning our radio group as a leader in the industry and embarked upon a great new course.  Our changes and platforms implemented by our team are starting to experience financial success now and we anticipate they will see those rewards continued to be recognized for the rest of 2006, 2007, and beyond.  Secondly, with regard to Outdoor, we had and will continue to carry the momentum of 2005 into the new year for both the Americas and International.  And we feel very good about the outlook for the Outdoor business.  Finally, we have great free cash flow business.  And we have been and will always be committed to returning capital to shareholders in a way that maximizes shareholder wealth.  With that, I will now turn the call over to Randall.
Randall Mays: Thanks Mark, let me begin by giving an update on the strategic realignment at Clear Channel Communications and then I’ll provide a few of the financial highlights for both Clear Channel Communications and Clear Channel Outdoor. Looking at the strategic alignment, there were four components to that.  The first was the increase in our recurring dividend by 50%.  That was affected immediately when we announced it based upon current stock price we have a 2.7% yield on the stock.  During the fourth quarter, we made substantial progress on the remaining components that we announced the second part of the realignment was the IPO of Clear Channel Outdoor. We did complete that during the fourth quarter selling roughly 10% of the company and generating proceeds of $600 million.  The third piece was the announcement that we would spin off our entertainment business, now known as Live Nation that was completed on December 21.  The operating results of the entertainment division are now reported as discontinued operations on our income statement.  When we spun-off Live Nation, it resulted in a $2.4 billion dollar capital loss for tax purposes.  We carried back almost $900 million of the capital loss to offset capital gains recognized in 2005 and prior years, resulting in a tax benefit of $314 million dollars which is discontinued operations on the income statement for the fourth quarter.  We have approximately $1.5 billion dollars remaining to offset future taxes on capital gains.  This is a great asset and we are exploring ways that we can use it that will enhance long-term shareholder value.  We’re not going to rush into anything, we have five years to utilize the benefit so we are going to take our time and make sure that whatever we do is the right thing to do for the long-term and maximizes shareholder value. Looking at the fourth leg of the strategic realignment was a return of a significant amount of capital that our shareholders approximately $1.6 billion dollars in total.  We continue to believe that an active and substantial effort on our part to return capital directly to shareholders through both dividends and share re-purchases in the best long-term interest of our shareholders.  Since we initiated dividend payments 2 ½ years ago, we have returned almost $4.2 billion dollars directly to our shareholders through a combination of both dividends and share re-purchase.  As we look at the $1.6 billion in capital that we’re committed to return, so far we have re-purchased $27.1 million shares of our common stock for $819 million dollars; with over $600 million of that coming in the first six weeks of 2006 alone.  Our current intention continues to be to pay a special dividend during 2006 after taking into account any further repurchases and other factors.  So certainly we’ve utilized a large amount of the $1.6 billion dollars for share re-purchase.  We believe that at current levels our stock represents a very compelling value for a number of reasons.  During 2005, we engineered a significant restructuring of our radio business, to create a much improved listening environment for our audience that is resulting in increased audience levels for our stations, and a better environment for our advertisers to sell their products.  We believe we have put in place a foundation which will foster growth for our radio business in 2006 and beyond. Looking at the performance of Outdoor business, clearly that business is very healthy.  In Outdoor we have an advertising medium that will continue to attract larger and larger audiences, thus providing a relatively inexpensive way for our advertisers to target consumers.  Add onto this the long-term impact of digital technology and it is not surprise that we are very bullish about the future of Outdoor advertising.  And as Mark finished up his comments by saying we continue to generate a significant amount of free cash flow and we remain committed to returning it to shareholders. Looking over some of the financial items for both companies, Clear Channels long-term debt at December 31 was $7 billion dollars with leverage defined as debt net of cash divided by the trailing 12-month evened off of 3.4 times.  Despite the significant returns of capital as you can see, we continue to be committed to a strong balance sheet.  As I have said in the past, our present intention is to operate our business in a manner in which we believe is consistent with an investment great company. That being said, we do not set our ratings and we believe our current profile warrants a higher rating than what we did today. Looking at capital expenditures for 2005, for Clear Channel Communication the total was $328 million of which $208 million was attributed to Clear Channel Outdoor.  During 2006, we expect cap backs to be relatively the same as it was in 2005 for both companies.  For Clear Channel Communications we expect depreciation and amortization of approximately $625 million in 2006 of which we expect to approximately $400 million to be attributed to Clear Channel Outdoor. Taking a look at taxes, in 2005, current taxes for Clear Channel Communications included unique benefits totaling approximately $210 million dollars, without these benefits our current tax rate would have been 24% for Clear Channel Communications in 2005.  The Clear Channel Communications cash tax rate for 2005 was slightly under 20%.  As we move into 2006, for Clear Channel Communications we expect an overall book tax rate of 41% with approximately 27% in current taxes.  If you look at our cash tax rate in 2006 for Clear Channel Communications, we would expect it to be negative due to the capital loss carry-back.  If you excluded the benefits of the capital loss carry-back, we would expect approximately 25% cash tax rate for Clear Channel Communications in 2006.  For Clear Channel Outdoor, we expect an overall book tax rate of 46 1/2% in 2006, with current taxes of approximately 49%.  Clear Channel Outdoor cash tax rate, we expect to be in the low 40% range for 2006.  Networking capital for Clear Channel Communications for the full year of 2005 was approximately $37 million dollars positive.  As we go forward, we anticipate that networking capital will be essentially neutral over the long term.  With that, why don’t we go ahead and turn it over to Q & A.
Operator: Our first question comes from Victor Miller, Bear Stearns
Victor Miller: Good morning, thank you for taking the question.  John, CCR has had 6 consecutive ratings of books showing growth in the 2554 segment over 2-year period, ratings are up 5-6% or so.  When should be expect the revenues to follow the ratings at that type of level, is that possible?  What holds the rate of growth back if at all?  And I have one follow-up for Randall.
John Hogan: Good Morning, Victor.  Thank you and we are excited about the ratings performance the six book performance that you talked about is something that we have focused on.  It was our first goal in many of our initiatives was to increase a number of people listening.  I think the short answer to your question is that it begins to happen right now.  As Mark shared in his opening comments, we are showing positive financial results right now and I believe that as we move through time those positive results are going to increase.  If you look at the January Miller Kaplan, the very quantifiable numbers, you can see that we performed right in line with the ratings increases that you had talked about, that 5-6%, we were up 6.3% in the Miller Kaplan rated markets.  I think that you’re seeing that right now.
Mark Mays: I think the other thing I’ll just add on there, Victor, is that while we are having financial success, we would expect that would continue over the years too.  As you know, you don’t always get the rating books gains right out of the gate, and we would expect to continue to experience those for the next 12-18 months, so we are very positive on it, bullish on it based upon the great audience gains that we have.
Victor Miller: Thanks Mark and then for Randall, I was struck by the fact that you talked about the special dividend.  You would think that in the long run it might be smarter to pay a larger recurring dividend, therefore, in other words you could take that special dividend and basically amortize it.  Create a higher recurring dividend and create a more solid shareholder base maybe with income funds or somebody that might find that higher dividend yield even more appealing that one time special dividend.  You talked about whether you have thought about just paying a higher recurring dividend.
Mark Mays: Victor, this is Mark and I going to take that because I think that Randall hit a lot of it in his opening comments.  But first and foremost, we are committed to a strong and flexible balance sheet and that’s an important aspect of the way we look at our financial balance sheet.  That being said, as you look at it, there’s three levers we are always analyzing for a return of capital and we have been committed to using all three in the past.  We have paid special dividends, as Randall said seven months ago we increased our recurring dividend 50%.  If you look at our current yield on our stock today, it’s 2.7%.  So if you look at it, we do have a very attractive yield and that’s not to say we shouldn’t increase it going forward.  But clearly we have demonstrated that in the past.  In addition as Randall said, we have purchased an enormous amount of stock and we think that’s a good return of capital.  So, we have looked at all of those levers and you should expect us to continually look at those three different levelers; the special dividend, increasing the recurring dividend, and buying back stock and try to optimize which ever lever we think is most inefficient in the marketplace today and utilize it to our advantage.
Operator: We will now hear from Jonathan Jacoby, Bank of America Securities
Jonathan Jacoby: Good morning, thank you for taking my questions.  Just starting off with looking at the out performance trends here; so if we extrapolate the strong January out performance of Miller Kaplan markets by about 480 basis points, should we then assume that there is a weakness in the industry for February and March that the industry could actually be negative and sort of how you look at things in terms of that?  And the second question here ties into the first question.  What are seeing as the competitive response to less is more things?
Mark Mays: Good morning, Jonathan.  I going to try to answer those and then I’ll let John clean up anything I don’t hit.  First, from an industry prospective it is difficult for us to opine on what the industry is doing.  We think that as we look at it particularly as you look at our ratings and look at our ratings success in our increase in audiences, that those are clearly much different than the industry is experiencing and therefore, we think that we are going to be very different from the industry and our financial results as we move forward.  So, it’s difficult for us to opine nor do we really want to opine on what the rest of the industry is doing. With regard to less is more from a competitive standpoint, I don’t know whether your reports state clearly lots of people have been monitoring the industry and most people are seeing our great ratings success and the fact that audiences love the environment in which we are providing and that always results in better radio and that will in turn provide us better cash flow, so we think that the rest of the industry is waking up to us providing better radio and more follow-ups.
John Hogan: What I would add to that is that generally speaking, the industry has been supportive and I think I think as we produce better results beginning with the ratings and we talked about this just a minute ago, we’ve had a number of positive ratings books over the last 4-6 issuances of those books.  And now we are beginning to see the positive financial results.  Additionally, we are seeing a greater acceptance of the shorter length commercial opportunities in the marketplace that is being embraced by advertisers which will be a strong catalyst for our competitors to include those options and potential solutions for advertisers moving forward.  I think that our successes continue, you’ll see the rest of the industry look for ways to dovetail in behind us.
Operator: And now we will hear from Eileen Sukara, Citigroup
Eileen Sukara: Hi.  Thanks for taking the call.  You mentioned that 3-3 1/2% a year increase in expenses for this year, and I am just wondering is this kind of an isolated year reinvestment in your radio business or do you think this is the run rate that you would expect in expense growth for the long-term and if this is sort of your long-term run rate, what is your long-term run rate expectations in terms of revenue as well?  Thanks.
Mark Mays: Eileen, I think as you look at it I think for 2006 we started making a lot of investments back last summer which are increasing our expenses for 2006.  We think a lot of those are not necessarily going to incur in a long-term growth rate the expenses in that 3-3 ½%.  If you look at his historically, we have been very good at managing our expenses, we decided to make those investments and things like programming and talent and HD radio and expanding our internet initiatives and things like that which slightly increased our expense growth rate, so it should not be your expectation that that would be a long-term expense growth rate.
Operator: We will now hear from Mark Winkus, Goldman Sachs
Mark Winkus: Great thank you.  Just wondering with your Outdoor operations in France continuing to be soft, can you give us some color as to how the restructuring action that took place there in the third quarter is helping what the company both doing there and in the UK?
Paul Meyer: Well, first in France we are generally on target with our social planner restructuring plan.  When that plan is fully implemented, we expect it to enable us to significantly improve our OIBDAN margins in France.  And those improvements will carry obviously beyond 2006 into the future.  So our restructuring plan in France is on target, we expect it to be implemented consistent with our budget.  We also believe though, there are other cost savings that we can over time achieve in our French business and again over time those cost savings will also increase the margins in that business.  In the UK, we made a number of changes the most significant one is that January 1 we replaced our UK CEO with a very, very experienced Outdoor CEO from our African businesses who is going to serve as the interim CEO in the UK.  His mandate is to very, very carefully analyze our billboard business.  Fortunately, he is a passionate billboard operator himself and we expect that over the course of 2006 we will be able to make a number of improvements in that business.  We have already started to focus on improving sales intensity through revised incentive compensation plans and we are focusing on working better product differentiation in particular, looking for ways to sell some of our products on a longer-term basis. I might just add a little more color though on that International business.  We have tended to focus a lot on the challenges and opportunities in the UK in France, but if you look at the rest of that business, it really is performing very well.  In 2005, we made significant improvements in our margins in both Italy and Spain.  We expect those improvements to continue in 2006.  We have a number of businesses in Europe and elsewhere operating with OIBDAN margins in the low 30’s to the high 30’s.  Countries like Switzerland, Belgium, Ireland, Australia.  If you look at our position in some of the developing markets where we have smaller business units, we are experiencing similar OIBDAN margins in the low 30’s to high 30’s.  Countries like Turkey, Russian, the Baltic’s, and of course China which through the third quarter was operating with an OIBDAN margin in excess of 40%.  So the overall view I think of those International markets is really quite positive.
Operator: And we’ll now take a question from Jason Hillstein, CIBC World Markets
Jason Hillstein: Hi two questions.  First for John on radio.  That out performance you are seeing in January, your numbers verses the markets.  Can you talk about how much of that you think is due to selling more 30’s or getting better pricing?  And then my second question for Paul, in your press release you talked about in this quarter the revenue growth in the US was attributed to increased pricing and then you talked about the airport and street furniture and transit, so I guess the question is, (1) is the business totally being in the US now been given by pricing and how are you seeing such large share gains, can you perhaps talk about that and (2) would you expect airport, street furniture, and transit to continue to grow faster than the core business domestically?  Thanks.
John Hogan: As it relates to the January out performance, I’d offer up a couple of comments, one is that the better environment that we have provided for advertisers is really gaining tractions.  The competitive advantage that we provide by having fewer commercial minutes in shorter spot breaks is something that has really resonated for them; we are seeing a continued embrace of that.  The second thing that I would add is that we are seeing a continued increase in the utilization of shorter length commercials.  Last year in January, shorter length spots accounted for approximately 25% of our total consumed inventory.  And in January of this year it is up to 35%, so we are seeing a better utilization, a continued embrace of the shorter length spots.  And the third thing that I would say is we have really focused on maximizing our yield.  While we have seen directionally positive results in the average in the rate, we’ve been very encouraged by seeing our yield increase over time.  Optimizing the inventory, getting the best possible prices we can for every spot that we sell and selling all of the spots we can has been a big contributor to the out performance in January.
Jason Hillstein: Paul with regard to the pricing.
Paul Meyer: I would say that as we look into 2006 we will continue to focus in our traditional Outdoor business in the Americas on driving price.  That’s obviously the most efficient way to move dollars to the bottom line in so that going to be a strong focus.  We experienced good growth in our non-traditional Outdoor businesses in the Americas.  Our taxi business, our mall business, our airports; we still have occupancy opportunities there and we will exploit those opportunities in 2006.  I think if you look at the International business in general there are more occupancy opportunities to increase our revenue in the International business and will be focused far more on improving those occupancies as opposed to driving price, although wherever we can we are going to want to try drive price. In terms of why have we been achieving the kinds of success we have, I think there are a number of reasons one is fortunately we have been the beneficiary to some degree of the challenges that other media are facing in terms of maintaining their audience.  In contrast ,one of our fundamental strengths is that we reach an audience which by the nature of lifestyle, whether your talking about life style in the US or your talking about lifestyle in the UK or France, is a lifestyle which has people out of their homes more and more.  People on the roads more and more, people traveling on those roads more slowly than ever before so we have an ever expanding audience.  Advertisers recognize that, they recognize it’s the best way to reach their customers for very, very large segments of the day.  So that’s been a tremendous value to us in terms of growing the business.  And then in terms of our own operations, we have introduced a number of operating innovations and efficiencies which enabled us to be far more responsive to our customers.  We are much better at delivering shorter term campaigns than ever before, that’s added to our opportunities and we have at Clear Channel placed a tremendous amount of emphasis on customer service, and in that customer service not only has increased our accountability, our transparency, but has made it much more attractive for advertisers to use our media.  The most recent innovation which I think we talked about on the road show was that we now have a proprietary web based proof of performance program which enables our advertisers to go directly onto the web, exam exactly how their campaign is being executed.  They know when each and every sign goes up; they know when each and every sign comes down.  It is the most transparent system available to an Outdoor advertiser.
Operator: We’ll now hear from Lorraine Manzini, Merrill Lynch
Lorraine Manzini: Two quick questions on Outdoor, first of all can you give us what your performance growth would have been in the fourth quarter adjusting for Clear Media being added in the Nantucket acquisitions and then second gave you just give us an update on the digital boards and do you have a specific goal in mind for this year?
Mark Mays: As you look at it Lorraine, because Clear Media has not been reported, we are not breaking that out and giving that growth rates at Clear Media because we don’t want to front run their reporting requirements, so can’t provide you that information at this date. Second, an update on the Cleveland project, just for those of you who aren’t aware we put seven LED boards and replaced bulletins in our Cleveland market in July of last year and those seven boards generated about $380 thousand dollars worth of revenue in the prior 12 months, and today since January we have on the books $2.3 million dollars on those seven boards so the Cleveland test has been a dramatic success and that is in a all capital investment of about $3.5 million dollars, so we are excited about that project.  As you know, we are expecting to test in four to six markets this year, 2006, and we are going to test with different technologies, we are going to test with different types of displays, we are going to test different selling techniques and what not to see if we are able to generate that great result that we did in Cleveland and we will have more on that throughout the year as go through those different tasks.
Operator: We’ll now take a question from James Dicks, Deutsche Bank
James Dicks: Good morning gentlemen, just two questions.  First in Outdoor just domestically, where are you seeing growth in national verses local, which is stronger and how does that compare to the fourth quarter?  And then just in terms of radio, where do you see some of your other growth initiatives going, in particular I’m talking about your Spanish language growth initiative are you seeing good conversion of ratings to revenue there, and then potentially if you could just comment on electronics ratings measurement in the potential you see there and where you stand in the RFP process?
Paul Meyers: We have not seen a significant change over 2005 and don’t anticipate a significant change in 2006 in the general ratio between our national business and our local business.  Our national business across all of our markets, all of our products in the Americas runs about 40% our local business runs about 60%.  We have over recent years placed not only a strong emphasis on growing our national business, but also a very, very strong emphasis on growing our local business.  We believe that to continue out strategy of driving price, we need to create demand on our products both locally and nationally.
John Hogan: Good Morning, James.  We are really excited about the growth initiatives and you mentioned one that is right at the top of the list.  Our Hispanic efforts which are about 1 ½ old have yielded terrific results for us on both the programming ratings side as well as on the revenue side.  In markets like Atlanta, San Jose, Dallas, Orlando, we have seen very, very encouraging results. We think we have a terrific team of Hispanic specialists that are helping our local managers as they roll these out.  We are seeing again very, very strong and quick ratings growth and the revenues have followed that.  So our Hispanic initiative is one we are very excited about.  Another initiative that we are excited about is our internet or Clear Channel online music and radio.  As Mark said in his comments, we have really recommitted to the internet space, we think it’s a very important distribution platform for us, one that marry’s up extraordinarily well with radio we are using our local radio stations and incredible brands that we have across the country to help fuel what we think are very rich, very high quality website over the last several months there has been a continued increase in the variety of offerings on our websites in the quality in the websites, they are very, very compelling and we are beginning, not beginning we are continuing to see increased traffic in audience participation on our sites.  We are very excited about the revenue possibilities and potential that will follow there. Other initiatives like the HD roll out that we are participating in, not just Clear Channel, but also the HD alliance, it’s a very, very big opportunity for the entire industry and one that has yielded thus far we think very, very exciting results as we launch these very compelling programs and formats on our side channels we are getting great feedback not only from consumers, but from advertisers as well.  So as you look at the cut of future of radio and you look at the initiatives that we have launched and that we are participating in, it really is very, very encouraging. Another one of those initiatives is the last part of your question and that is the request for a proposal for alternative audience measurement.  If you remember we issued the RFP mid-summer last year, we heard from about 30 different companies around the world, those proposals were due in early December.  We opened the process up to the rest of the radio industry; we invited our colleagues to join us as well as inviting a number of advertising agencies and advertisers to help us review these proposals.  And I am very happy to report that that committee, which is about 20 people, has reviewed all of the submissions we have narrowed it down a couple of different times and have a much shorter list today.  That committee is meeting again in the very, very near future to continue the evaluation.  What I would tell you is that, I am extremely encouraged by the options and alternatives that we have seen.  Our goal was to find out what else is out there.  How can we use the technology that is available today to give radio a more consistent a more reliable and a more timely reflection of those people that are listening to us.  And I have been very encouraged that there really are options out there. We’ll be working over the next weeks to continue to explore those options; the very next step is to meet with some of the finalists and to really take a hard look at what we might do differently to give radio a more accurate, a more consistent, and a more reliable audience measurement.
Operator: We’ll now hear from Lee Westerfield, Harris Nesbit
Lee Westerfield: Thank you.  Just a couple of questions, first the International Outdoor margins expanded significantly on the year-end results and Randall I wonder if you might be able to detail that.  What that a result of the French restructuring from Clear Media inclusion or was there some other factor that supported the margin expansion?  And then I have one follow-up.
Randall Mays: Well I think if you look at it the margin expansion, as Paul reminds me, a result of very, very good management.  The margin expansion is clearly a function of good cost controls in expanding the top line.  As you know, because when you have lower margins it’s easy to expand them if you do provide that positive top line and are able to focus on your expenses, so it is our expectation as we continue, and Paul said earlier, it is our belief that we have an opportunity and that we have a lot of the things in place that should lead to margin expansion in the International sector over the next few years.
Operator: And we’ll now hear from Gordon Hodge, Thomas Weisel Partners
Gordon Hodge: Good Morning, just a couple of follow-ups, Randall what I missed what you said about how much of the buy back has been implemented in the first quarter of this year if you could just repeat that.  And then also, just curious if you could break out for us the 2005 cash flow for the TV business if you have it?  Thanks.
Randall Mays: On your first question, I am going to answer it more broadly than what you asked just so it’s clear.  If you look at the $1.6 billion dollars that we committed to return to shareholders, so far we have re-purchased $819 million dollars of that $1.6 all going toward share re-purchase and since January 1, we have re-purchased $600 million dollars of stock.  That’s included in that $819 million dollar number. And on the cash flow break out for TV, that’s not something that we break out individually in the financial statements.
Operator: We’ll now hear from Michael Maysinson, Sanford Bernstein
Michael Maysinson: Thanks for John, Mark, or Randall.  When you get a pacings update, how far in advance is that?  What time frame?
Randall Mays: Our pacings for first quarter means we have 2.9% more on the books today then we did last year for the first quarter.
Michael Maysinson: This is as of today, right?
Randall Mays: Yes, actually as of Friday.
Michael Maysinson: And the question we would have in deeper is that it does assume February slow down, but I wondered is that anyway that you could quantify what the Olympic effect would be; from maybe a slow down in February?
Randall Mays: It is difficult for us to quantify.  If you look at it, there is a historically always been a slight Olympic effect in the months that the Olympics occurs.  It is an accurate statement and has had an impact on us just from the perspective a lot of local and national advertising dollars are sucked up into that Olympic packages.  There would be an effect to that extent on us in February.
Michael Maysinson: And you did say that the rest of the quarter, you’re feeling that business is improving?
Randall Mays: Yes, I would tell you that it is our expectation while we are pacing at 2.9% that it’s our expectation that we are going to do better than that.
Michael Maysinson: Alright one follow-up is there was a lot of transactions in the quarter, I wondered what would the cost, professional phase bankers fees, in a quarter did you incur or charge and where was that expenses booked?
Mark Mays: I think if you look at it for the cost and the Outdoor IPO those would have been amortized.  They would have been put into the capital account, that’s where those will come through, but I don’t know what the exact numbers are.  You can look at the CCO Outdoor S1 and it will tell exactly what the fees associated with that were.
Operator: We’ll now here from David Bank, RBC Capital Markets
David Bank: Thank you, good morning.  Looking to get a little bit of color from John and Paul from the frontlines, I just wanted to know what they saw on the auto side in the fourth quarter a little more specifically and what kind of trends do you think they are shaping up in the first quarter and for the year given everything that is going on particularly in the domestic auto market?
John Hogan: Well unfortunately, it’s kind of a short answer in both the fourth quarter and thus far in Q1, the automotive has been weak for us.  It is one that we are very concerned about.  What we are doing, is working very hard to give automotive advertisers a reason to be with us and solutions and that is something we’ve been very aggressive about, we’re engaged in conversations with virtually every automotive manufacturer.  One of the things that we have discovered is that the internet has become a much more important part of the car buying process and as a result is much more important to the automotive category.  It’s one of the reasons that we are so excited about the advances that we’ve made with Clear Channel music and radio online is that we have the opportunity to marry together the terrific power and performance of our local radio stations with very rich and compelling websites and we are really looking forward to getting those opportunities in front of advertisers.  It’s important because we’ve always provided a very strong terrestrial audience, we’re now in a position to couple that with an increasingly strong online audience and we think that’s a very, very powerful combination for us.
Paul Meyer: On the underside we did experience a decline in the automotive advertising in the fourth quarter and for the year.  But, frankly we are pretty optimistic about 2006.  We’ve already signed a very, very substantial multi-year contract with GM for their sort of core advertising business, covering both 2006 and 2007.  So, we’re pretty optimistic about automotive in 2006.
Operator: And we’ll now hear from David Miller, Sanders
David Miller: Hi, good morning, a couple of questions.  John, if I have it correct the break down between the 15, 30’s and 60’s in the model pod 6-months ago, was about 65% 60’s, 20% 30’s, and 15% 15’s, can you talk about what that break down is today not as the end of the fourth quarter but today or as of Friday as you eluded to you in your previous remarks.  And then also, what are the categories out there that are now convinced with less is more one-year old that are now convinced that they are netting the same ROI effect or a broader ROI effect with the 30’s as they did with the 60’s?  Thanks very much.
John Hogan: I would say that first of all there isn’t a model pod.  What we have done is asked all of our local managers to create clocks that make the most sense for their individual radio stations.  They are in charge of the responsibility of maximizing the available inventory in those clocks.  Here’s what we have seen, a tremendous amount of experience gained over the last year and much greater efficiency in building our clocks.  There really is not a model clock per say.  We have some markets where there is a much greater utilization of 15’s than say 30’s and other markets the 30’s have a greater utilization than in 50’s.  On some stations given the competitive matrix in a market or the particular type of format, there is a greater reliance on 60’s. We believe that the right thing to do is to allow the local managers to build their clock, and I think that the very encouraging thing is that all of our managers have a years worth of experience, they are much more familiar, they are much more adept at building these clocks and it has really heightened our efficiency, and as it relates to categories that have embraced or has seen a greater RLI, I would say to you that it is not category driven it is specifically advertiser driven.  And I think that the fact that we have seen these continued and material increases in the utilization of shorter length commercials.  In 2004, about 5% of our total capacity was shorter length spots.  That increased literally month-to-month, quarter-to-quarter last year.  What we are seeing is advertisers having more choices.  Our goal has been to provide the most options for advertisers, give them the most potential solutions to their marketing or advertising needs.  Some have been extraordinarily effective with 15’s some have been extraordinarily effective with 30’s and others have continued to be extraordinarily effective with 60’s.  It’s all about offering them different choices and different opportunities.
Operator: And we’ll take our next question from Michael Kapinski, AG Edwards
Michael Kapinski: Thank you very much, I was just wondering in terms of the pacing data that you mentioned in the first quarter, can you break that down in radio between local and national and are you seeing the network business and traffic business carry the momentum from the fourth quarter and I was just wondering too if there has been any increased competition from the now public Traffic.com?
Mark Mays: I can tell you in January, our national performance was stronger than our local performance.  I would also add to that we tend not to get too caught up on the differences between local and national.  We look much more closely at the overall total, but our national team the Clear Channel radio sales folks have done a great job for us to start the year on a very positive note our network business has gotten off to a tremendous start.  The premier sales team is doing a great job of monetizing the inventory and the great programming that we have out there.  They are doing a terrific job of selling the Fox radio news network, doing a great job of selling Steve Harvey and the other programs, they are doing a great job of converting the increased ratings on the Clear Channel radio station networks.  Our traffic business as Mark said in the opening remarks was a high point for us and we continue to have very high expectations for that as we move into 2006.
Operator: Last question, Kip Spree,  Nicholas
Kip Spree: I just want to check on the Outdoor, I think you said it was pacing 1.4%.  I just wanted to verify that, and that’s excluding currency, I assume that the currency impact is negative.  Just wanted you to verify that and then maybe talk a little bit about what you see from the competition in response to your ratings increases are your competitors starting to cut back on commercials?  Thanks.
John Hogan: If you look at our International Outdoor you are correct that our International Outdoor pacing at 1.4%.  I can tell you that it is our expectation that we will perform better than that and the reason is that International markets are somewhat our bigger UK and France businesses are very short-term right now, they needed advertisers are holding back dollars to the very last second to place them.  So it is our expectation that we will do better than that. You are correct with regard to our pacing information being the four foreign exchange gains and losses, while we do not know what that is because we are not at the end of the quarter is the trend lines continue as they are, then yes, you would expect that foreign exchange gain and loss to be negative. With regard to competition, you may not have been on the call earlier, but we do believe that competition is because of our great successes with the ratings and now our financial success that we are seeing more and more competitors follow us with regard to putting on great radio and that follows the investment we’ve made in talent, you’re seeing great radio being put on by a lot of different operators and I think they are focused on the clutter challenges that persisted in radio before, and people are trying to reduce the clutter and I think that is a positive for the overall radio industry. With that I am going to try and sum it up.  One thing that I wanted to say earlier when someone asked what was the amount of stock we bought since the beginning of the year and Randall reminded them that it was $600 million, sometimes we get asked why are you investing a stock, what are you seeing that’s making you so confident in your businesses?  And I think as you look at it, we are very confident in our businesses and we are very excited about our businesses and that’s why we are buying a lot of stock right now. If you look at the January performance of our radio group it was tremendous.  If you look at the ratings in our radio group and the metrics associated with what those ratings will provide, which is yield per minutes and increase in average rate, we are doing a great job of selling shorter length price spots.  If you look at our pacings right now, our pacings for the second quarter are better than the first quarter and they are better for the third quarter than they are for the second quarter and better for the fourth quarter than they are for the third quarter.  So, while the numbers are small we have a good feel that our business is getting better and we’re excited about that. We think radio has a bright future, we think that HD radio alliance which continues to again be innovative and use technology to enlighten the better use of free radio and local radio which is really be compelling to audiences and to the future and that’s why we have a lot of confidence in the radio business.  Clearly in the Outdoor side, the fourth quarter report card I think tells the whole story.  It is a great business with a great future and we are very excited about the digital upside that can be provided in that one as well.  So, that’s why we are buying a lot of stock and it’s all really I wanted to reach out and say thanks to the team that’s out there that’s providing these great results for us.  We couldn’t do it without them and we want to thank them for their hard work and great efforts. With that we want to thank you for spending time with us this morning and hope everybody has a great day.  Thanks.
Operator: And that concludes today’s conference.  We do appreciate your participation.  Have a great afternoon. 